Operator: Good afternoon, and welcome to the ShotSpotter’s Fourth Quarter and Full Year 2017 Earnings Conference Call. My name is Darren, and I will be your co-ordinator for today’s call. Joining us for today’s call are ShotSpotter’s CEO, Ralph Clark, and CFO, Alan Stewart. Following management’s remarks, we’ll take questions from ShotSpotter’s publishing analysts. [Operator Instructions] Please note that certain information discussed on the call today will include forward-looking statements about future events and ShotSpotter’s business strategy and future financial and operating performance. These forward-looking statements are only predictions and are subject to risks, uncertainties and assumptions that are difficult to predict and may cause the actual results to differ materially from those stated or implied by those statements. Certain of these risks and assumptions are discussed in ShotSpotter’s SEC filings, including its registration statement on Form-S1. These forward-looking statements reflects Management’s beliefs, estimates and predictions as of the date of this live broadcast, February 20, 2018, and ShotSpotter undertakes no obligation to revise or update any forward-looking statements to reflect events or circumstances after the date of this call. Finally, I would like to remind everyone that this call will be recorded and made available for replay via a link available on the Investor Relations section of the Company’s website at ir.shotspotter.com. Now I would like to turn the call over to ShotSpotter’s CEO, Ralph Clark. Sir, please proceed.
Ralph Clark: Thanks, Operator, and to all of you joining us today. I’m going to provide a quick overview of the quarter and the year and then Alan will cover financial results in a little more detail. Then we’ll be happy to take your questions. This is a very second time for Shotspotter. We’re always happy to talk about our technology and a large market opportunity we’re capitalizing on. But most of all, we love sharing how we’re helping communities, address the pervasive issue of gun violence. We’re pleased that several existing customers like Chicago, Cincinnati and Louisville have publicly sold the impact ShotSpotter’s had and helping them address gun violence and we’re grateful to be a part of their efforts. In the fourth quarter, we continue to execute against our large vendor penetrative market opportunity. From a financial standpoint, our success is reflected in our performance for the fourth quarter and full year. For the quarter, revenues increased 43% to $6.5 million from the same period a year ago. For the full year 2017, we posted revenue of $23.8 million representing 53% growth over 2016. We capitalize on the significant momentum we generated and with the add visibility that we currently have into our bookings and pipeline. We’re in a solid position to increase our revenue guidance for 2018. Alan will give more color on that in a moment. We’re also able to add 23 net new miles in Q4, including four miles lost in one city that did not renew their contract after being deployed for approximately two years. Overall we added 114 net new miles for all of 2017. We encourage you to look at the annual net new miles number, primarily because our quarterly net new miles can be slightly lumpy getting the various bureaucratic budgetary in the infrastructure issues that can affect the go-live dates in the short-term. As we discussed previously, we’re focused on driving high quality recurring revenue that is sticky. We demonstrated that with an exceptional revenue retention rate of 141% for 2017 compared to 127% for 2016. This is a key metric for us, because it underscores both the attractiveness of our solution and its real world operational efficacy. While consistently achieving 141% is not a realistic expectation over the long-term. Our ability to generate revenue retention rates well north of 100% underscores the fact that ShotSpotter’s technology helps reduce gun crime, improve public safety, increase officer safety and deepens ties between police and the communities they serve. In other words our solution works on many important levels and that is why customers deploy, expand and renew it. That said we take absolutely nothing for granted in our customer relationships. In fact one of the key target areas we’ve allocated for investment from our public offering proceeds has been in our customer on boarding and success effort. This investment continues to payoff through deeper engagement that not only helps us optimize how ShotSpotter’s being used, but also generates valuable operating intelligent that we used to enhance the core technology and it’s used by all customers. Proof of that increase customer engagement has been a recent net promoter score or NPS of 55 compared to 48 in 2016 and 32 in 2015. This is an extraordinary increase and we’re focused on driving it even higher. Our assessment about the overall customer experience led us to challenge ourselves even more. In doing so we made decision to increase the detection rate in our service level agreement or SLA from 80% to 90%. In the near-term this decision had a modest impact on our margins as we invested in and deploy additional sensors to increase sensor rate density and make other system resiliency improvements. But overtime, we strongly believe it will enhance our competitive mode, our strong brand image and expand sales efforts in our core business. We’ve also been very pleased with the early traction of our security business and saw an opportunity to accelerate the growth of that business by consolidating the sales efforts of both the security and public safety solutions teams into a single sale entity under the strong and capable leadership of Gary Bunyard, our Senior VP of Public Safety and now Security Solutions. This decision makes perfect sense and how we go to market and also reflects what we’re seeing in the marketplace. In essence, there is no clear demarcation between the general public safety concerns of a police department and the more specialized concerns of security departments responsible for safety on a school campus or other quasi-public space that exist within city limits. Gun violence is fluid and not bound by any arbitrary geographic dividing line. A clear illustration of this is represented in our SecureCampus solution, which is primarily designed to address the traffic and costly active shooter scenario. Fortunately none of our SecureCampus customers have had any on campus active shooter incidents to date. However there have been numerous cases of gun fire incidents captured by our solution in the surrounding city neighborhoods that are adjacent to our covered campuses and those alerts have been critical in 18 campus police to quickly respond to these events, while coordinating lifesaving EMP resources as well as making arrests of perpetrators, even though these events are not physically taking place on campus. Clearly our SecureCampus solution represents a value proposition that is broader and more multifaceted and we first envision. The idea of protecting the campus community that lives works in place enclosed by transitional neighborhoods just off campus who are exposed to intermittent gunfire is paramount. This expanded vision of the role our solutions play can also be seen in our ongoing work to integrate ShotSpotter technology into the smart city platforms being pioneered by companies like Horizon and GE Current. These providers are creating sensor based municipal infrastructures to support everything from lighting and traffic management to public safety solutions and even mess notes for digital communications networks. Our acoustic sensors and embedded firmware are a natural addition to these types of infrastructure. Are you need technical leadership and expertise and acoustic gunfire surveillance is increasingly being recognized by new customer types, solely the new gunfire use cases. For example we recently received a contract to deploy our solution to monitor a stretch of major California freeway that has been experiencing Sniper life gunfire incidents. Freeway shootings are a growing concern for public safety officials nationwide and we’re pleased that our solution is being integrated with other technologies and processes to help mitigate this problem. It’s in the early days for this specific use case, but it could represent a potential material expansions of our team. Giving me industry tailwinds, it is our intention to slightly increase our spend in 2018. I’ll let Alan provide the details, but it’s clear to us that we have a excellent opportunity ahead and that modestly increasing our R&D and sales and marketing efforts can help solidify and expand ShotSpotter’s leadership in these growing sectors. One final piece of news in the fourth quarter was Bill Bratton rejoin your Board of Directors. I can confidently say that there aren’t many public safety professionals with more experience and expertise than Bill. His years as Commissioner of Police in New York City and Chief of Police of Los Angeles has given him broaden deep insights into the business of public safety and security. He’s a very valuable addition to our board and we’re delighted to have him back. In closing, I would like to remind you all that ShotSpotter pushed out 95,000 gunshot alerts to our subscribing agencies in 2017. At an average round count of 2.67 rounds per ShotSpotter activation that is more than 250,000 rounds of ammunition per year, most of them being discharged in some of our most vulnerable communities. Each incident is criminal in nature and each incident victimizes residents of those communities, but each incident detected by ShotSpotter also represents an opportunity for pleased to more effectively respond to and investigate and ultimately better engage those communities that they are sworn to serve and protect. This is the hard of our value proposition and what drives us to do better every day. Well, that’s sums up my overview for the company’s progress in Q4 and year-end 2017. Here is Alan to provide a more detailed review of our financial results.
Alan Stewart: Thank you, Ralph, and good afternoon, everyone. As you can see from our numbers, we ended 2017 on a strong note. Revenues for the fourth quarter exceeded our expectations increasing 43% from fourth quarter 2016 to $6.5 million. Our full year revenue increased by 53% to a record $23.8 million, which also exceeded the guidance we provided back in November. And as Ralph mentioned, we add 23 net new miles in the fourth quarter. On top of this, our revenue retention rate increased to 141% for 2017 even after the loss of Puerto Rico, U.S. Virgin Islands and one other city of customers. For the third consecutive quarter, we generated cash from operations and we believe we are still on track to achieve GAAP profitability by the end of 2018 even with their strategic decision to increase spending this year as Ralph mentioned earlier. Based on our success and performance in the fourth quarter of 2017, we’re increasing our revenue guidance for 2018 to between $31 million and $33 million. So let’s look at the details of the quarter and the year. As I mentioned our revenues for fourth quarter increased 43% to $6.5 million over the fourth quarter of 2016. This performance helped drive our topline for the year to $23.8 million, a 53% increase of our 2016, reflecting growth in the number of miles covered through the expanded deployments for current customers, as well as the addition of news customers. Gross profit for the fourth quarter was $3.2 million or 49% of total revenues up from $2 million or 45% in the fourth quarter of 2016. It’s important to note that our gross profit for fourth quarter of 2017 was impacted by cost associated with increasing our service level agreement or SLA standard including equipment of personnel. It was also impacted by an impairment charge related to one minor customer electing do not renew the ShotSpotter services. These cost impressed our gross margin modestly third quarter. We expect cost related to our SLA upgrade to continue to first quarter 2018 after which we believe our gross margins will improved. For the full year, our gross profit was $11.6 million or 49% of revenues, an improvement from $6 million or 38% of revenues in 2016. Now turning to our expenses. Our operating expenses for the fourth quarter were $5.4 million and 107% increase over last year. For the full year, our operating expenses were $50.9 million or 67% of total revenues, which was up from $10.9 million or 70% in 2016. With our focus on careful deployment of capital, our sales and marking spend per dollar of annualized contract revenue was approximately $0.34 per dollar in 2017, up only slightly from the $0.28 per dollar in 2016, while we increased our revenue retention rate to 141% for the full year. Now breaking down our expenses. Sales and marketing expenses for the fourth quarter were $1.9 million or 29% of total revenues versus $1 million or 23% of total revenues for the prior year period. As we’ve discussed this increase reflects our continued expansion of our sales efforts along with increasing customer service line. As Ralph mentioned, we think accelerating our investment in sales and marketing, as well as R&D improvement helping us to reinforce our leading market position. Our R&D expenses for the fourth quarter were $1.1 million or 70% of total revenues compared to $900,000 or 20% of total revenues for the prior year period. We continue to invest in R&D to expand the applications for our technology, improve our analytics capabilities and conduct other initiatives. G&A expenses for the quarter were $2.4 million or 37% of total revenues, which is an increase of approximately $700,000 or 50% of total revenues for the prior year period. The increase reflects the cost of operating to public company, including certain legal and by the expenses, professional and outside service fees. Our GAAP net loss for the fourth quarter was $2.5 million or $0.26 per share based on $9.7 million basic, diluted weighted average shares outstanding. This compares to a GAAP loss of $864,000 or $0.54 per share of the prior year based on $1.6 million basic and diluted weighted average shares outstanding. For the full year, our GAAP net loss was $10 million, $1.61 per share based on $6.2 million basic and diluted weighted average shares outstanding versus the loss of $6.9 million or $4.28 per share based on $1.6 million basic and diluted weighted average shares outstanding in 2016. We added 27 new go-live miles in Q4 up from 11 miles add in the fourth quarter of 2016. For the full year, we added a 115 new go-live miles close to doubling the 77 go-live miles we added in 2016. We ended 2017 at approximately 510 public safety total miles covered, which was net of the 33 miles loss due to Puerto Rico and the U.S. Virgin Islands and 4 miles loss with the other customers. Deferred revenue at the end of the year was $18.5 million largely flat with the previous quarter. While this amount $15.8 million with short-term and $2.7 million with long-term. In general, we expect short-term deferred revenues through recognize within four quarters. However, we caution that you shouldn’t read too much into the quarterly changes in deferred revenue as time during the quarter when new miles go-live can add a significant impact in deferred revenue. We consider this another metric that is more informative on a year-over-year basis versus on a quarterly basis. Cash flow from operations for the year was $3.4 million, an improvement from $2.3 million in 2016. As I mentioned earlier, fourth quarter of 2017 marked a third consecutive quarter, we’ve had positive cash flow from operations. We ended the year in solid financial position with $90.6 million in cash and no short or long-term debt. This cash balance is up from a $90.3 million at the end of third quarter 2017. Due to the strength of our fourth quarter results, we are increasing our revenue guidance for 2018. Note that this guidance is provide under Accounting Standards Codification or ASC 605, we’ve also completed an in-depth review and do not believe the new revenue recognition standard under ASC 606, which we adapt as of January 1 we have a material impact on our business. For the full year of 2018, we now expect revenues of approximately $31 million to $33 million, up from the guidance we provide last quarter up $30 million to $32 million. Our confidence in our full year outlook is based upon the strength of our short-term deferred revenue on a historically strong renewal rates and new contract awards that we expect to go-live before the end of the year. As Ralph indicated, we plan to continue our investment in 2018 with the goal of further penetrating this growing market. We are investing to accelerate ourselves to revenue decline, expanding our efforts to grow internationally, as well as accelerating our R&D programs among other initiatives. However, because we’ve already increased our operating expenses in 2017, we expect our operating expenses in 2018 as a whole to increase by less than 5% from our fourth quarter 2017 run rate. Within the OpEx categories, R&D will increase the most as we continue to invest in new technologies, sales and marketing spend increased only slightly and G&A over the year will actually reduced because fourth quarter contain certain extraordinary expense. Bottomline notwithstanding the higher G&A expenses in fourth quarter, we believe we’re still on track to achieve got a probability by the end of 2018. Why don’t we do not provide for quarterly guidance, we want to provide some color around the normal cadence of our operations throughout the year. Due to seasonality related to our contract renewal period, historically first quarter revenues are typically flat with the previous year’s fourth quarter. Then we typically expect a step up in revenues in the second quarter followed by a third quarter is typically but with the second. Finally we typically spend another step up in revenues for the fourth quarter. In contrast, our operating expenses came to increase more linearly throughout the year. Although in first quarter, we expect legal cost associated with ongoing litigation to continue as well as cost related to our SLA upgrade. In closing, we enter the year with significant financial and operational momentum. We are excited and energized for our prospects in 2018 and beyond and we look forward to sharing our progress with you throughout the year as we hope to realize reduced gun violence. Now back over to you Ralph.
Ralph Clark: Thanks, Alan. Let me close by saying how proud we are to be in case and the work that we do with agencies throughout the U.S. and beyond and helping them prevent in reduced gun violence. These agencies are made up of committed public servant to put their lives on the line every day. We honor their service and their sacrifice. And now we’ll take your questions.
Operator: Thank you. We will now take questions from ShotSpotter’s publishing analysts. [Operator Instructions] Our first question comes from Richard Baldry of ROTH Capital. Please proceed with your question.
Richard Baldry: Thanks. Could you talk about what the actual impact on the G&A line was in the fourth quarter, went up about a little over $1 million sequentially, which is pretty disproportionate. So no more normalized run rate the sort of without the item.
Alan Stewart: Sure, Rich. This is Alan. What I would say if we have approximately little less than $900,000 in cost related to legal, related to the ongoing litigation we had, related to the list in cost, and related to professional fees for the 606 analysis and other exact compensation analysis. So if you wanted to get a more normalized one, you could remove about $900,000.
Richard Baldry: Okay, thanks. Then as you increase sort of the service level agreement metrics, is there any change to the deployment cycles for certain newer customers you think or is that pretty easy to absorb into the existing deployment process you have?
Ralph Clark: Yes, thanks, Rich. This is Ralph. It’s pretty easily absorbed into our current cadence on deploying our rates, no real change there.
Richard Baldry: Maybe last of the – can you talk about sort of your pipeline as you think about where you were maybe starting 2017, what you’re looking at talk to across a different end markets, not just large cities but term across the breadth of it versus where you see yourself now starting 2018 and maybe also a little discussion about degrees or assist you have start in 2018 versus 2017 and on thatI think you are talking about hiring in the sales side. Thanks.
Ralph Clark: Sure. So this is Ralph. On a qualitative basis, I think we feel very constructive about where we are from a house call medium-term to long-term our pipeline point of you. As you know we said about kind of rebuilding the sales organization earlier in 2017 kind of get into five direct public safety selling directors across the U.S. and that team is come together really, really nicely and on that we layered our customer success in on boarding team. And they’re just doing a phenomenal job next kind of shows up in our in NPS results. We’re committed to and still plan on hiring a international sales executive to go get out of Latin American markets. And we expect to have that completed by the end of this quarter. So I’d say on a qualitative basis, we’re feeling really confident about where we are in terms of the pipeline, it’s looking very good.
Richard Baldry: Great, thanks.
Operator: Our next question comes from Tim Klasell of Northland Securities. Please proceed with your question.
Tim Klasell: Yes. Hi guys, nice quarter. Two quick questions. First from a broader perspective Ralph, you combining and reorganizing your salesforce to bring the two together. Is that something you’re seeing in your quest proposals you are piece that are making you think this or maybe it’s a capacity issues, maybe you can sort of walk us through what you’re seeing and what you expect to see to drive that combination. Thank you.
Ralph Clark: Hi Tim, thank you. So couple of things, I think it was fair to say that where we started out in our security efforts was really more of a – I guess the incubation period kind of getting out to those early adopters have seen the value proposition in the various use cases. And what we found from several of our SecureCampus deployment is that, in fact although the initial design concept or use case concept was really around the mass shooter, active shooter scenario happening on campus. What we’re actually finding is that we were detecting and alerting on a number of gunfire incidents that happened just off campus and this happened over three or four of our SecureCampus deployments. And that’s a little bit of a different used case that really combines both university campus police as well as local police. And we thought it was a very compelling value proposition where we were able to direct law enforcement interventions to these direct locations where these events were taking place along with EMP resources that ended up kind of helping face the lives in a couple situation and even arrests in a couple of individuals. It became clear that the market pull opportunity for us was really kind of taking a more I guess holistic view of our SecureCampus deployments that just not addressed the on campus active shooter scenario, but also the intermittent gunfire that can happen off campus just adjacent to the campus and may these locations where the campuses are located. See what I would describe as transitional neighborhoods. And so having successful incubated this through the kind of security business model, we felt that we had enough cadence and pipeline to kind of move it over to a fully functional call sales organization where it’s led by Gary Bunyard who has a set of processes and cadence all around kind of executing and accelerating sales and kind of combining those two teams together we felt give us a lot more excuse the expression bank for the box so to speak. And so we’re really excited about the combination. We just pull that together at the beginning of this year and we’re excited about where that’s point you take us.
Tim Klasell: Okay, great. And then quickly on your SLA improvements, is that going to be rolled out across all your covered miles or is it quickly or is it going to be something that’s going to be rolled up gradually, it will the Q1 impact get the entire footprint covered. Thank you.
Ralph Clark: Yes, it’s a great question. So I think most of it from a cost point of you has been dealt with in Q4. We’re going to have some amount of additional investment in Q1, but I think the majority of it has already happened. I think we should definitely point out the fact that operationally we were detecting at SLA – excuse me, as great at 90% and above. I think that’s a little bit different. Here it’s now we’re making our SLA reflect what our operating experience was already. In that kind of requires the fact that we’re kind of put in SLA now really required its not to operate at a 90% level, but more at a 95% level, not for that additional investment. We think very prudent additional investment has come to play. So that we can really improve the customer experience and also establish a significant competitive mode. So anyone that was thinking about potentially enter into this business, they have a very, very high bar to overcome to be on the same level as we are. And the last point I’ll make about this is as we kind of move from I would call the early adopter market to more of the early late majority market, the quality of the user experience it’s much more paramount. I would say then say early adopter. I think we’re really smart to recognize that and basically kind of move our capability and experience to where the market is going, the much bigger market I would say. So we’re pretty excited about making that change and I think internally the weighted team was able to kind of come together and collaborate and do the necessary thing, not only from a sensor deployment point of view, but also from the system resiliency and engineering point of view it’s really been quite remarkable, it’s quite a team building effort and I think we’ve gotten a very positive response from our customers who weren’t expecting, this is not like the customers were “demanding this”, but we’ve gotten some really positive feedback that this is, I guess very consistent with the nature brand that we’re trying to establish as a company doing the right thing.
Tim Klasell: Okay, okay. It’s very impressive. And then one final one, just probably [indiscernible] in the numbers already gave us, but the goal is to grow as quickly as you can and even if things accelerate like they have this quarter. But still get to Q4 profitability that sort of the – remains sort of the two bogies if you will. Thank you.
Alan Stewart: Yes, this is Alan. Absolutely, and we’re confident that we can raise profitability about Q4.
Tim Klasell: Okay, great. Thank you.
Operator: Our next question comes from Jeff Kessler of Imperial Capital. Please proceed with your question.
Jeff Kessler: Can you talk a little bit about, again the SLA, because it’s interesting that? When you’ve taking to look at the density of your sensors. And you looked at topology and you’ve taken all of this into account. It works better in some areas than in other areas. And yet you still have a confidence to take it up to 90% and with the goal of 95%. What have you learn just in the last year that will – that gives you the confidence to do this? Because clearly, nothing is perfect in this world, but at the same time, you’re making kind of a big statement here to your existing customers.
Ralph Clark: Sure. So I think fundamentally, we know that in general more sensors are better than less sensors. We develop some really sophisticated modeling tool that incorporate without giving way all the secret sauce, I’ll always say incorporate a lot of map from notion of a anecdotal 3D capability to be very smart about, where we play additional sensors. And we have it’s amazing database frankly, where we’re detecting and alerting on events in the amount of sensor participation that is involved in those events. And we’re able to kind of pull all that together and say, okay, we can improve this array by adding maybe another one or two or three sensors here across this array. And then we’ve also done some pretty interesting things actually physically in the sensors that involve, I’ll call it kind of suppressing ambient noise and letting impulse of noises kind of spike out effectively letting sensors here further and now that’s fairly interesting innovation that are engineering team has a pointing to play with some very sophisticated algorithms. And then lastly, I think on the system resiliency side in terms of kind of keeping the core application up and running and available at all times. I think our work frankly with GE Current, AT&T and Verizon in those big companies have really helped us I guess step up our gain so to speak with all of this kind of system availability resiliency stuff that we need to do. We’re benefiting certainly from our partnership with Amazon, AWS, in terms of kind of having a – kind of robust resilient system with misandrist multiple redundant dissimilar independent backup systems capability. And kind of pulling all that together in a kind of cross functional team to enhance the user experience was our big goal. And we’re not perfect, but we think we’re making some really good strides in significantly improving the user experience and signaling to the marketplace that we are a deserving partner, we’re deserving partner of the dollars that they’re investing with us, because we’re going to not be lazy. We don’t take anything for grant in this company and I thought that this particular SLA improvement was a testament of that.
Jeff Kessler: Okay. With regard to what you just said, my next question was actually segue right into it. What have you learned from working with GE and AT&T at this point given that – obviously you would have said if the program had exploited and so something huge by now. More importantly, what have you learn that has changed your – any type of operational or sensor capability from them that you would not have had – do not have these contracts.
Alan Stewart: Sure. This is Alan. I would say that our relationships are certainly evolving both with GE/AT&T and Verizon. And we are working through our first deployments with GE/AT&T, we discussed last quarter in Atlanta and I think evaluating the proper mix of the GE enable the – ShotSpotter enable the GE notes versus the ShotSpotter sensors is something that is excellent learning process for us, how to make sure that the cities themselves understand how the integration works also something that we’re learning. We expect to have same similar types of learning that when we start rolling off the Verizon is well. So I would say that there’s a large opportunity out there. They have different go to market strategies than we do. We think that’s exciting and the technology in terms of actual deployments is also something that that we’re learning on a daily basis now in security…
Ralph Clark: Yes, security is a big thing.
Jeff Kessler: Okay. With regard to realizing that there’s lumpiness on both sides of this, but expansion of existing customers versus new customers. Is there – do you detect any trend in change of the ratio that you’re getting there.
Ralph Clark: I would say it is our revenue retention rate of 141% is a real testimony to the expansions that we’re – we experience 2017 recognizes that metric does not include any miles from customers that just went live in 2017 as well. We’re seeing growth in both sides. So we’re very optimistic in terms of the path.
Jeff Kessler: Okay. Finally, any new international countries that you are looking at, that you could mention that you haven’t talked about before.
Ralph Clark: No not that we haven’t talked about before, I mean we’re very excited about the potential in South Africa. We have a very successful deployment in Cape Town, South Africa with a huge net promoter in JP Smith, who’s the Minister of Security there. We’ve had some discussions with other cities in South Africa and their gun violence problem is very similar to that what we experience here in the U.S. So we’re excited about the potential there and are spending their requisite amount of time I guess I would say in South Africa kind of pushing that agenda forward, but nothing new to report beyond that.
Jeff Kessler: Okay. And final question, I know you’re not going to be able to really answer this. But I have friends in San Juan. And this is a developing situation for the last several months in which will crime and shootings begun to increase, because infrastructure is not there to take care of them. And it’s only going to go one way until something – until they get more funds, we have to deal with this. Can you talk about Puerto Rico in any way shape or form?
Ralph Clark: Yes. I would say – no, I think we said what we have already can say about Puerto Rico and USVI. I guess I would point out that they’re not part really of our thinking for our revenue for 2018 this year. And we just hope that they can get the resources they need to kind of bring some sense of normalcy back to those places I mean they are really hit hard. So I don’t imagine that ShotSpotter is the first thing on their agenda. They’ve got other priorities. So we’re hoping they can get those priorities sorted out.
Jeff Kessler: Okay, great. Thank you very much.
Ralph Clark: Thank you.
Operator: At this time, this concludes our question-and-answer session. If your question was not taken, you may contact ShotSpotter’s Investor Relations team at ir.shotspotter.com. I would now like to turn the call back over to Mr. Clark for his closing comments.
Ralph Clark: Great. Yes, so no additional or closing remarks from us. I think we said pretty much all we can say at this point in time. Looking forward to seeing you all of about 90 days or so. We can tell you about the progress we’ve made in Q1 2018. Thank you very much for joining.
Operator: Thank you for joining us today for ShotSpotter’s fourth quarter and full year 2017 earnings call. You may now disconnect.